Operator: Good morning, and welcome to the Whirlpool Corporation's Fourth Quarter 2013 Earnings Release Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Joe Lovechio.
Joseph Lovechio: Thank you, and good morning. Welcome to the Whirlpool Corporation Fourth Quarter 2013 Conference Call. Joining me today are Jeff Fettig, our Chairman and CEO; Presidents Mike Todman and Marc Bitzer; as well as Larry Venturelli, our Chief Financial Officer. Our remarks today track with the presentation available on the Investors section of our website at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 8-K, 10-K and 10-Q, as well as in the appendix of this presentation. Turning to Slide 3, we want to remind you that today's presentation includes non-GAAP measures. We believe that these measures are important indicators of our operations as they exclude items that may not be indicative of or are unrelated to results from our ongoing business operations. We also think that the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operations. Listeners are directed to the appendix section of our presentation beginning on Slide 42 for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. With that, let me turn the call over to Jeff.
Jeff M. Fettig: Well, good morning, everyone, and thank you for joining us today. As you saw in the earnings release from early this morning, the strong execution of our plans drove record earnings for our company in 2013. We continue to successfully drive both revenue growth and margin expansion, leveraging our industry-leading brands and innovating new product launches into the marketplace. This marks the eighth quarter in a row of ongoing business operations margin expansion for us. And as a result, we generated strong cash flow, ending the year with a very strong balance sheet and increased investment capacity. Our full year 2013 results are summarized on Slide 6. Our revenues were up over 4% versus last year, excluding foreign currency and BEFIEX, led by strong growth in our North American and Latin American businesses. And in line with our previously increased guidance, diluted earnings per share from ongoing business operations improved to $2.97 for the year or up 42%, in total, delivering $10.02 per share compared to $7.05 last year. Our free cash flow tripled year-over-year with a $460 million increase to $690 million. And overall, we effectively deployed that cash in line with our previously discussed priorities. So if you turn to Slide 7 and 8, we highlight our business priorities for 2014, building upon the progress we made last year. Overall, we remain very confident in our abilities to continue to grow revenues and expand margins. As we expect to grow organically and improve our mix with our innovative new product launches, we expect to continue to accelerate growth well beyond the core, extend and expand businesses, and we expect margin expansion with the execution of ongoing cost productivity programs, additional cost and capacity reductions, as well as improved price/mix and the impact on our margins. We also expect to complete the acquisition as a majority shareholder of Hefei Sanyo, which we expect will enable significant emerging market growth in China in the future. All totaled, we believe these actions will more than offset some headwinds that we see in 3 areas: one is continued increases in material and oil-related costs; second is the negative impact of foreign currency; and third is the inflation that we continue to see in emerging markets. But as a result of this in total, we do expect to be in a strong financial position to continue to invest strongly in our business and deliver strong levels of free cash flow. Turning to Slide 9, you'll see our expectations on global demand, which in total, we expect to grow in 2014. Our industry demand assumption for North America and, in particular, the U.S. is for demand to grow 5% to 7% for the year as we continue to see growth in U.S. housing, the normal replacement cycle of appliances and improvement in discretionary demand. In Europe, we expect flat to up -- the market to be flat to up 2% for the full year as the region remains somewhat weak, but we are beginning to see some stabilization in this and some signs of recovery. In Latin America, we continue to expect to see inflation and currency fluctuations impacting consumer demand and consumer sentiment. So for the full year, our industry forecast at this time is expected to be basically flat. And lastly, we expect Asia forecast to be up to -- flat to up 3% for the full year, primarily driven by strengthening Chinese market and offset by industry weakness that we continue to see in India. But in total, we do expect positive global industry demand for the year. Finally, turning to Slide 10, I would sum up by saying given the strong underlying trends in our business from both a revenue growth standpoint and a margin expansion, we're giving our 2014 full year diluted GAAP EPS outlook in the range of $11.05 a share to $11.55 per share, and our ongoing business operations outlook is $12 a share to $12.50 a share, and this, with also our free cash flow forecast of approximately $700 million. Overall, we remain confident in our abilities to continue to execute our plans, and we expect to deliver another record year of performance. So with that, I'd like to turn it over to Marc Bitzer.
Marc R. Bitzer: Thanks, Jeff, and good morning, everyone. Let me begin on Slide 12 by reviewing North America's performance in the fourth quarter, starting with the top line. Net sales of $2.7 billion for North America were up approximately 9%, driven by higher volumes, particularly in the U.S. where revenue was up approximately 11% compared to prior year. Strength in U.S., particularly in the building channel, was partially offset by industry weakness in Mexico and significantly negative currency impact in Canada. Our ongoing business operating margins were 11% for the quarter with ongoing business operating profit of $301 million, an all-time quarterly record compared to $233 million in 2012. Higher sales, ongoing productivity and restructuring benefits continue to be positive drivers in the fourth quarter, more than offsetting higher material costs. Overall, ongoing business operating margins expanded by 1.7 points year-over-year. Consistent and disciplined execution of our actions resulted in the ninth consecutive quarter of year-over-year ongoing business operating margin improvement. Now let me take a moment to talk about our expectations for 2014 as shown in Slide 13. Positive trends continue in both new construction and existing home sales, and we see increased demand for normal replacement purchases, as well as discretionary purchases, driven by improving consumer confidence. We remain focused in innovative products and growing beyond our core business, and we expect positive net cost productivity, and we will continue investments in marketing, technology and products. Turning to Slide 14, you can see just a few examples of our leading innovative products in the North American region. First of all, you see Whirlpool's brand new 4-door refrigerator that offers superior flexibility and energy efficiency. The EveryDrop water filter by Whirlpool Water offers fresh filtered water at the speed of life, which shows how we're growing beyond our core business. We also highlight the Jenn-Air built-in coffee system featuring ideal brewing pressure for barista-sized drinks at home. I will now shift gears to talk about the fourth quarter results for our Europe, Middle East and Africa region as shown on Slide 16. Despite a weak market environment, we achieved positive operating profit for the quarter, driven by the actions we've put in place. Sales were $847 million compared to $794 million in the prior year. Excluding currency, sales increased 1% year-over-year, driven by higher volumes. Operating profit of $10 million improved by $2 million compared to the prior year and operating margins improved 20 basis points. Now turning to Slide 17. While the market environment in the Eurozone remains weak, we expect normal seasonality and slow industry demand recovery to accelerate in the second half. We expect to grow revenue organically and improve our mix with our innovative new product launches and grow beyond our core. Margin growth will be driven by continued benefit of our ongoing cost productivity programs, but are expected to more than offset higher material costs. And also, we expect further margin growth from our additional restructuring initiative, which includes the recently announced closure of a plant in Sweden. We will continue to evaluate all options necessary to ensure positive trends and operating margin growth to continue. Turning to Slide 18, we are highlighting the Bauknecht brand KOSMOS built-in induction oven that integrates seamlessly into any kitchen and the Bauknecht GreenKitchen refrigerator and dishwasher that work together to save consumers water and energy. And now I'd like to turn it over to Mike.
Michael A. Todman: Thanks, Marc. If you turn to Slide 20, you'll see our Latin America fourth quarter results, which highlight our seventh consecutive quarter of year-over-year ongoing business operations margin expansion. Sales for the quarter were $1.4 billion compared to $1.3 billion in the prior year. Excluding currency translation and BEFIEX, sales increased more than 8% compared to the previous year due to continued growth in the core appliances and favorable product and price/mix. GAAP operating profit for the quarter totaled $159 million compared to $134 million in the prior year. On an adjusted basis, our operating profit for the quarter totaled $130 million, 9.7% of sales, compared to $119 million or 9% of sales in the prior year. Improved product price and mix, including cost base price increases and ongoing productivity initiatives, offset higher material costs and foreign currency for the quarter. Turning to Slide 21, the appliance industry in the region for 2014 is expected to be flat as inflation and currency volatility throughout the region impacts demand. However, given our strong market position and the current competitive environment, we expect to grow our revenue despite this environment. Our innovative new product launches are winning with consumers, and we remain focused on growing beyond our core business. Even with this short-term volatility, we continue to be very confident about the long-term fundamentals in Brazil. Now let me take a couple of minutes to talk more about the region on Slide 22. You can see that the long-term positive drivers outweigh the short-term uncertainties and challenges. Both positive drivers are primarily related to Brazil and include population growth with an emerging middle class, who has the ability to increase and upgrade the number of appliances in their home. Brazil's strengthening domestic market, real wage growth and low unemployment rates are also very positive drivers as we look at the fundamental economics. LAR International, our appliance business outside Brazil, is made up of over 35 markets. Some of them are up, some down, but LAR International in aggregate is fairly balanced even in the short term. We continue to be confident about the long-term growth opportunity in these markets. As we look at the uncertainties in the year, the 2014 World Cup and government elections in Brazil may affect the consumer and business sentiments in the short term. We also expect inflation pressures and currency fluctuations to have a negative impact on consumer demand, especially in the first half. However, we will continue to manage through the short-term volatility and overcome the challenges just as we did last year. Slide 23 shows how we continue to capitalize on the opportunities for growth with product leaderships in Latin America. For this quarter, we highlighted the Whirlpool Connect refrigerator with smart technology, the Consul Facilite portable refrigerator and the Brastemp Ative! washer and dryer. Our fourth quarter results in the Asia region are shown on Slide 25. Net sales during the quarter were $177 million compared to $203 million in the prior year period. Excluding the impact of currency, sales decreased approximately 7%. Operating profit of $10 million improved by $3 million, and operating margins improved 210 basis points compared to the prior year period. Favorable price and mix, including cost base price increases, as well as ongoing productivity, offset industry weakness in India, increased raw material cost and foreign currency. Turning to Slide 26. In 2014, we expect to continue managing through volatility in India and capitalize on the industry growth in China, as well as leverage our new product launches. Last August, we were pleased to announce our intent to become the majority shareholder of Hefei Sanyo to accelerate our growth in the emerging Chinese market. Earlier this month, we welcomed the announcement that our acquisition proposal had received the second of the 2 key approvals required by -- from the Ministry of Commerce in China, or MOFCOM, those being the antitrust and foreign strategic investor approvals. The transaction remains subject to approval by the China Securities Regulatory Commission, or CSRC, certain other regulatory approvals required by the relative Chinese authorities and some other formalities. At this time, we expect the transaction to close any time between the end of the second quarter and the end of 2014. Slide 27 shows a couple of examples of our product leadership in Asia. For this quarter, we've highlighted Whirlpool brand's Professional frost-free refrigerator with innovative 6th Sense Active Cool technology and the Whirlpool Armstrong total home laundry solution that includes a prewash station, washer and storage. Now I'd like to turn it over to Larry.
Larry M. Venturelli: Thanks, Mike, and good morning, everyone. Let me start by making some comments on our fourth quarter results, and then I'll transition to guidance for 2014. Overall, the underlying fundamentals of our business remains strong as evidenced by continued sales growth and margin expansion, as well as a strong balance sheet. As we have previously demonstrated, we continued to effectively manage through short-term volatility in demand and unfavorable currencies across the globe. Our strong execution throughout the year delivered record earnings. On Slide 29, you will see how we expanded our margins with a balanced approach across multiple drivers. For the year, we exceeded the high end of our original guidance and drove a 160-basis-point improvement in ongoing business operating profit margin. We realized a 0.5 point for the full year in price/mix. Our cost and capacity reduction initiatives contributed 1 full point. That productivity was positive and delivered approximately 0.5 point margin as our actions more than offset material cost inflation of approximately $180 million. And as expected, increases in marketing, technology and product investments reduced margins by approximately 0.5 point. Moving to the financial summary on Slides 30 and 31, reported net sales during the fourth quarter were $5.1 billion compared to $4.8 billion last year. Excluding the impact of both currency and BEFIEX, sales were up 7%, primarily driven by strong growth in North America and Latin America. Fourth quarter ongoing business operating profit increased 25%, driven by higher sales, ongoing productivity and the benefit from cost and capacity reductions, more than offsetting higher material cost and unfavorable currency. Graph on Slide 32 illustrates expenses associated with our cost and capacity reduction initiative. The actions we have been taking over the past couple of years and into 2014 represent a generational change for our footprint and cost structure. Through 2013, we have delivered the $400 million of benefits we laid out in Q4 2011. For the full year, our program expenses were $196 million ,and we delivered approximately $175 million of benefit. As Marc mentioned earlier, we have taken additional cost and capacity reduction actions to address the weak, but recovering European market and to continue to expand our margins. For the full year 2014, we expect approximately $100 million of charges and $80 million of ongoing benefits. As Jeff introduced earlier on the call our 2014 guidance as shown on Slide 33. We expect to deliver annual diluted GAAP EPS in the range of $11.05 to $11.55 per share and annual ongoing business operations EPS of $12 to $12.50. Our expectations for free cash flow are approximately $700 million, of which I will provide more detail shortly. On Slide 34, you can see the reconciliation from diluted GAAP EPS with ongoing business operations EPS for 2014. As we take appropriate actions in regards to our generational change in footprint and consistent with prior years, we are adjusting diluted GAAP EPS for restructuring expense. As we near the conclusion of benefits associated with the long-running program in Brazil, we are also adjusting for the remaining BEFIEX tax credits of $16 million. Consistent with 2013, we're adjusting for the onetime investment expenses of approximately $22 million that relate to the pending acquisition of Hefei Sanyo. Lastly, we expect our tax rate assumption for 2014 to be 24%. On Slide 35, we expect the current year to deliver another balanced approach towards margin expansion, resulting in an 8-plus percent margin. For price/mix, we expect a 0.5 to a full point of margin, driven by cost base price increases, as well as from innovative new product launches and growth beyond our core business. Our cost and capacity reduction initiatives will drive a 0.5 point improvement. We also expect positive net productivity to contribute 0.5 point in margin for 2014 as our actions more than offset material cost inflation of $150 million to $200 million. And finally, higher marketing, technology and product investments are expected to reduce margins by about 0.5 point to a full point. Now to provide a bit more clarity on our free cash flow expectations, I'll refer to Slide 36. Walking from our 2013 actual free cash flow to our 2014 outlook of $700 million, there are several factors impacting the comparison. Most notably, you can see that we plan to utilize our increased earnings to drive enhanced investments for growth and profitability. Increased capital expenditures of $75 million will support continual product innovation for consumers. Higher restructuring cash of approximately $45 million will support continued margin expansion. Working capital is essentially neutral year-over-year. Due to the requirements of the pension relief program enacted in 2011, our U.S. pension contributions are required to increase approximately $45 million this year. However, it's important to note that our U.S. GAAP pension obligation was cut in half during 2013 and has been lowered to $700 million. Lastly, we will monetize $90 million less BEFIEX tax credits compared to last year. Overall, the underlying cash flow generation of the company remains very strong. In total, we continued making investments in our business to support our long-term growth and margin objectives. As we have executed our plans to improve margins and grow revenues, we have effectively deployed the cash generated from our business as shown on Slide 37. During 2013, we increased our dividend and recently completed our share repurchase program. Shareholders were also rewarded with a 54% increase in the company's stock price. Moving into 2014, we will continue to fund the business for growth, as I just mentioned, including capital expenditures between $625 million and $675 million. We plan to refinance our maturing debt. Also, as Mike mentioned, we are on track with the acquisition of a majority stake in China's Hefei Sanyo. Consistent with the past, we will continue to update you with our future plans for use of cash. In summary, given our increased investment capacity and strong balance sheet, we will continue balancing funding for all aspects of our business to ensure the best long-term value creation for our shareholders. Now I'll turn it back over to Jeff.
Jeff M. Fettig: Thank you, Larry. I'll turn to Slide 39 to summarize our remarks. First of all, I would say we're pleased with the actions that enabled us to deliver record results in 2013. We have and we expect to continue to grow revenue, expand our margins, and we're firmly on track to deliver our 2014 objectives, including 8% plus operating margins. As we look ahead, we're very well positioned to capitalize on positive global demand trends, and we are very positive about our own robust pipeline and new innovative products for consumers that will enable us to grow faster and improve our mix. The Hefei Sanyo acquisition provides a great opportunity for us for transformational growth in China. We will continue to grow beyond our core business as we have been. And as result, we will have even more opportunities to grow our investment capacity and to deliver on our cash priorities. Finally, I'd like to turn to Slide 40, which should be familiar to you, which is our road map for growth and value creation that we first introduced to investors in 2010. I think we are now demonstrating that we have the capabilities to address challenges related to raw material cost, rapidly changing global economies, currency fluctuations, inflation in emerging markets and value-destroying competition. Given our success and current momentum, we remain confident in our opportunities to grow the business, expand our margins and generate strong free cash flow. As we achieve our 8% plus operating margin, and close the Hefei Sanyo transaction, we will provide updates to our shareholder value creation targets at the appropriate time later in the year. In the meantime, we'll continue to invest in our long-term growth strategy, and we're firmly on track to deliver our shareholder value creation targets and deliver another record year of operating performance. So with that, I'll -- that concludes our formal remarks. We'd now like to open it up for Q&A to the audience.
Operator: And we will take our first question from Ken Zener with KeyBanc.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Currency. If Latin America volume is flat in '14, could you describe the currency headwind you would expect at today's rates, given the volatility we've seen week to week? We can see the fourth quarter currency hit, but could you kind of frame out, given that there's 35 different countries passing through in America, what it would look like in terms of currency headwind, so we can understand that?
Larry M. Venturelli: Yes, this is Larry. Let me give you a couple of comments. First, for the total year of '13, we absorbed -- effectively absorbed about $85 million of currency headwinds, a lot of that occurring in the second half of the year. For -- and I'm talking in globally. For 2014, we'd expect total currency to be a headwind of around $50 million based on where currencies are today. The majority of that, a lot of percentage that happen in emerging markets, but we will continue effectively navigate through currency headwinds just as we have over the last couple of years.
Michael A. Todman: Maybe, Ken, I can just add to that, specifically related to Latin America and just put it in perspective. On -- with that currency headwind, we still have been able to grow our market position and we still have been able to, if you will, balance off that currency with price increases that we've already taken. So we certainly feel like we can deal with the current volatility that we have [ph].
Larry M. Venturelli: And Ken, just one other comment. With, really, the currency, you see a lot of discussion in the press. If you look at our combined businesses we do in countries like Argentina, Venezuela, Turkey, Russia, South Africa, these represent about 3% of our sales just to give you a little bit of perspective.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Could you restate those just for everyone's clarification again?
Larry M. Venturelli: If you look at countries like Argentina, Venezuela, Turkey, Russia, South Africa, they represent about 3% of our total global sales.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Very good. Moving to the U.S., it's obviously very constant tension between market share and margins as any industry faces. But given the margins that you had in North America were very good, your North American volume did lag a hem by about 200 basis points. So Jeff, could you kind of comment if you'd be willing to go into a little more detail about, obviously, you're looking for profitable growth. We do think a lot of pressure from the Korean firms has been -- is always there, but you've been able to navigate it. Could you just, as you look back at 2013, reaffirm your view of how you can maintain share profitably and as it relates to the refrigerator comments you made that you are not pursuing the appeal despite the international -- the appeal decision that, in fact, the ITC might have been fought. Is there a reason you're not pursuing that appeal as it relates to margins and market share?
Jeff M. Fettig: Okay. Let me turn the first question over to Marc and he'll answer that.
Marc R. Bitzer: Ken, it's Marc Bitzer. Let's first talk [ph] about the market share and the unit is 2-sided. First of all, and I think we made that comment several times in previous earnings calls, the units which we report are not comparable to the AHAM market share unit. Our units which we report include more than the so-called T7, includes the units, which are T7 to T12 in U.S. Of course, it also includes Mexico and Canada. So it's -- when you compare AHAM numbers with our reported unit, you're not comparing apples-with-apples. Not even apples with oranges and certainly. As importantly, our T7 market share, which, as you know, we don't public detail -- our T7 market share in Q4 was stable sequentially and actually even up year-over-year. So we are kind of -- from a market share perspective, we are certainly solid right now at the current point.
Jeff M. Fettig: And Ken, regarding the fair trade question that you asked, we did put out a statement earlier in the week, which basically position or gave our position on the refrigeration ruling. And let me make a couple of comments. One, as we said in the announcement, dumping -- we have proven twice in both washers and refrigerators that dumping has occurred, and we stated that we believe it's still occurring in the marketplace. Secondly, there is no question in terms of with the Department of Commerce and with the appeal that we are correct on -- in terms of bringing this fair trade issue to the table legally, if you will. We are pleased with and agreed with the appeal ruling from the trade court that the decision on the refrigeration case by the ITC was based on nonaccurate data, but we also stepped back and said, as we said in the release, we're now talking about data that's from 2008 to 2011. And in our view is that in 2014, the marketplace has changed, prices have changed, products have changed, countries of origin have changed. And given the time that it would take to continue to pursue this or affect ruling on this appeal, we believe there are faster vehicles available to us to both monitor and address trade issues that we see in the United States. So that was the basis. We have a strong and unwavering commitment to fair trade enforcement, and we'll continue to take the appropriate actions to monitor that.
Kenneth R. Zener - KeyBanc Capital Markets Inc., Research Division: Understood. The last question, if I may, is your long-term guidance, which at one point seemed long term, of 8% margin is in fact your 2014 guidance despite, obviously, difficult Latin America guidance, I would say. So would you venture to give us what might be a medium-term guidance or thoughts given that long term is, in fact, your fiscal '14 guidance of 8% margin?
Jeff M. Fettig: Yes, Ken. Okay. So I mean, we've done our 2014 guidance, and what I said and the question that's been asked before is, is 8% plus the upper limit? And my answer has been no. That's where we see 8% plus. And what I said in my remarks is as we -- first of all, we want to demonstrate we are in fact achieving that, which we expect to do this year. Second of all, we have a very important [ph] acquisition, which will positively affect both our revenue. And if we look at their margins, they're good. And our -- my comments are is that there will be an appropriate time as we progress in our milestones in 2014 and update you and investors on a more medium- to longer-term value creation targets, which we intend to do. But for now, I think that 2014 -- we've got 11 months to go, and we'll focus on delivering 2014.
Operator: And we will next go to Denise Chai with Bank of America.
Denise Chai - BofA Merrill Lynch, Research Division: Could you -- let me see. So just starting with your U.S. guidance of 5% to 7% volume growth, can you maybe break that down now for us into, say, replacements, new build, existing and discretionary demand? And how do you see the mix of that demands at this point?
Marc R. Bitzer: Denise, good morning. It's Marc Bitzer. As opposed to breaking down, let me just maybe give you a broader comment on the 5% to 7%. First of all, starting with lasted energy [ph], I mean, we've shown in the Q4, and we pretty much came exact -- essentially exactly. It's in the guidance of what we've communicated, the 9%. As we start the year, we're starting off with a slightly softer January, which is largely driven by fairly significant trade inventory corrections end of April. Having said that, we remain very positive about this year's and probably also mid-term trends for U.S. market in both new constructions, existing home sales, and as you also pointed out, we are hitting more and more of a normal replacement cycle, i.e. appliances, which were bought in the peak of the market of 2004 to 2006. So without breaking down into components, but with both elements of the market, replacement and new construction, we see we have a very solid momentum, and that's why we are still very bullish about the 5% to 7%.
Jeff M. Fettig: And Denise, I would add we've talked before about those 4 dimensions. Replacement is in a -- and we're moving back towards a more normal market is in the high-40s to 50% of demand. New construction as it starts to get back to what we think is replacement level should be around 15%. Existing home sales is about 15%, and the rest is discretionary. And as we've pointed out at the end of the third quarter, we're hitting the period where the first time in many, many years where all 4 are growth and moving in the right direction, which to Marc's point is why we're still bullish not only for this year, but over the next coming years.
Larry M. Venturelli: It's still about 15% below the peak of the industry through 2013, so a lot of opportunity there to...
Denise Chai - BofA Merrill Lynch, Research Division: Got it. And just turning to LatAm, last year Mabe gave up a significant amount of share. Can you kind of update us on where your share stands now? And also on pricing because I believe you took prices up mid single digits in Brazil sometime around June last year. But was there a further increase in the fourth quarter? And given your more dominant market position, how should we think about pricing going forward, I mean, obviously, with the currency fluctuation?
Michael A. Todman: Well, let me first answer the first, and we closed the year up about 3 points of market share for our Brazil business. And we expect with the product investments that we're making, the innovation that we're bringing that we will continue to have good performance in the marketplace taking market share. We did also announce after the June price increase the price increase that we are actually executing right now, and we announced that for the 1st of January. So we're in process of doing that, and I really can't comment on any future increases.
Denise Chai - BofA Merrill Lynch, Research Division: Okay. And the 1st of -- January 1, is that also mid single?
Michael A. Todman: Yes, that's mid to high singles, depending on...
Denise Chai - BofA Merrill Lynch, Research Division: Okay. Great. And just one last thing about raw materials. So can you give us maybe the dollar increase in raw material costs in 2013, and what you're expecting for 2014 now that you've done a lot of your negotiations?
Larry M. Venturelli: Yes. We ended up 2013 with about $180 million of headwinds, and we were forecasting for this year, which we will offset with productivity, is about $150 million to $200 million of raw material headwinds.
Operator: And we will next go to Megan McGrath with MKM partners.
Megan McGrath - MKM Partners LLC, Research Division: Could you just clarify your comments on the retail inventory levels? I think you said that January is a bit weaker because of inventory and sort of compare it to what you're seeing, what you saw last year.
Marc R. Bitzer: Marc Bitzer. Just my comments on the trade inventory correction. Let me offer you the context. We have -- of a vast majority of our retails, we have a very good understanding and have exact data on what we call sell-through, i.e. what has been sold to the consumer and what we sell. So we have a fairly good understanding of trade inventory moves. And what we see this year coming out of 2013 into January [indiscernible], that was pretty much over last 12 weeks of significantly trade inventory reduction on the trade side. There's a certain elements, which is not surprising, something in January [ph], but I would say the magnitude of what [indiscernible] this year clearly goes beyond what we've seen before to the point that I think some retailers with low -- they run very low in the inventory coming to February.
Megan McGrath - MKM Partners LLC, Research Division: Okay. And then just a little clarification. I know it's small, the percentage of your sales, but clearly you're looking for the full year for the Asian market to improve versus what you saw in the fourth quarter. Can you talk a little bit about what you're seeing there to get you to flat versus the mid single-digit unit decline you saw in the fourth quarter?
Michael A. Todman: Yes. We are seeing a strong environment in China, and we expect that, that will continue. There are -- India continues to be somewhat challenging, but we are beginning to see some improvement in India. And then there are all the markets around, there is growth in those markets. So we feel pretty good about what we're seeing out of China and some improvement that we're seeing in India.
Operator: And we will next go to the side of David MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: Both Mike and Marc talked about growth beyond the core, and I presume you're talking about your adjacencies business, which you address in your IR deck. Using the numbers that you cite in that deck, it's about a $4 billion a year business. It's basically -- you're pretty close to the European business in terms of its magnitude, Europe and Asia together maybe. Can you just talk about what you achieved in 2013 in terms of full year growth and sort of the look for 2014 in terms of what kind of growth we could expect, and also not only growth in terms of revenues, but growth in terms of margin contribution?
Jeff M. Fettig: Yes, David. This is Jeff. We've got -- the way -- again, this is for everyone's benefit. We talk -- the way we look at our business in many different ways is we first look at them regionally, we then look by product line, and then -- we then introduce the concept that we talk about our core appliance business, which there tends to be a fixation on T6 U.S. business, but it's really at least a T12 global business. That, we call our core business. And then we look at categories, which due to that strong core business, we're able to extend revenues from that. And then we talk about expand, which is categories that aren't completely dependent up on the core, but where we can bring our capabilities to expand our business scope. And it's largely all around branded consumer products in around the home. So with that definition, I mean, your math is roughly correct. I think those categories, which we look at internally, there is extend and expand that cap about 23% of our revenue. In total, they're nicely profitable, and we're growing as we said on value-creating objectives. It varies per year and so on, but roughly we expect to grow faster than our core business. And I'll just give you 2 quick examples. There's over 30 different categories in there, so it's hard to really go -- and they vary in size from $10 million to $1.5 billion. So -- but we manage virtually all of them discreetly. And that -- I think that in terms of growth, the 2 biggest growth generators right now are -- one is our KitchenAid small domestic appliance business, which is strongest base is in North America, but we are expanding it globally. We're growing it very, very strong double digits as we have for the last couple of years. We're adding new product lines to that. We're expanding into many, many more markets around the world, and it's a sustainable source of both growth and significant value creation. Another interesting example, which is a composite of many different things in different markets, it's our overall water business. You saw, I think in -- Marc Bitzer showed a new-to-the-world product for us, which is the Drop product in the United States, which is a consumer product, which we have now having many retailers across the United States. It's a water filtration product. We have a subscription model in Latin America that is meaningful, and it grew 30% last year. So -- and I could go through a whole written of those things. But suffice to say, our goals in this area is to continue to extend and expand. We expect over time to grow this business as twice the rate as our total business, and we have substantially higher margins. So as we grow this business, it will be a mix up to our total margins. So that's the quick snapshot of that category.
David S. MacGregor - Longbow Research LLC: And do you get growth in margin from where you are, or are margins pretty much where they'll be now, and it's really just about growing the revenues in that group?
Jeff M. Fettig: It's a little of both. But I would say -- because where we have really good margins, I would say we're reinvesting rapidly in expansion and advertising, and things like that. So -- but in terms of mix on our total margins, I mean, we have both. We have some where we will also improve our margins substantially. And where we have big positions, high margins, we basically are focusing just on growth.
David S. MacGregor - Longbow Research LLC: And Jeff, I realize there's a lot of categories there, but would you say you have more pricing power in those categories than you do in the core 6?
Jeff M. Fettig: David, over the last couple of years, I mean, our view is -- our -- very simply put, as we talked before, we're in the business of selling products at a profit and that applies to everything, including the core business. In the last couple years, we've been able to do both. We've gotten pricing on our core business, and we're getting pricing on our extend and expand.
David S. MacGregor - Longbow Research LLC: Last question just for Larry. Two things, can you talk about the interest in sundry expense line, I got an $82 million versus $35 million, and just what might have been going on in there? And then also on the balance sheet, you had a $7 per share drop in your pension liability. You went through that quickly in your prepared remarks, but maybe you could just give us a little elaboration.
Larry M. Venturelli: What was your question, David, on interest and sundry to change year-over-year? Is that what the question was?
David S. MacGregor - Longbow Research LLC: Yes, your $82 million versus $35 million, could you give us a look at what's going on?
Larry M. Venturelli: The delta is really related to a legal accrual that we took late in the year in interest and sundry. That's what's driving that. The pension liability, quite frankly, is a couple of things. One is discount rates dropping, and we've been saying for a while -- I'm sorry, rising. So if interest rates increase, we would see a substantial decrease in our liability. And the return on our assets have been pretty strong. So in total, for the company, and I talked about the U.S. pension liability, which is the most -- the larger part of the liability, we were about $1.4 billion in pension liability last year in the U.S., and we're a little bit over $700 million this year. So a significant, significant decline in one of our legacy liabilities.
Operator: And we will next go to Michael Rehaut with JPMorgan.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: First question, I was hoping if possible to give a little more color on the price/mix benefit that you saw in 2013 and expect in '14. And if it's possible to kind of give us a sense of which was the bigger driver, price or mix, and as you -- particularly as you expect that benefit to, I believe, improve in 2014?
Jeff M. Fettig: Yes, Michael. I would say overall, our price/mix was positive. It varied dramatically. The source of that varied dramatically around the world. I would say in our developed markets, which is largely North America and Europe, it was largely on the mix side. In our emerging markets, it was both like-for-like price increases, which we executed throughout the year like in India and Brazil, which we talked about, as well as some positive mix contribution from product innovations. As we look to 2014, we've talked about -- we had announced in many major markets around the world and have implemented or have announced we're implementing price increases based on the inflation that we're still seeing virtually -- it's for raw materials everywhere, but high inflation, particularly in emerging markets, partly currency driven. So we have -- that has been announced. But in principle, given the investments we're making in new product innovations, we do expect to have a positive product mix as well. So it will be a combination of both.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: I appreciate that. And also on the interest expense -- I'm sorry, the investment expense that is something you add back to get to your adjusted non-GAAP measure, and this is also for guidance, it looks like it's about $0.21 per share that you add back in '14. It's about $0.19 in '13. Is this something that you expect to eventually roll off or given that it's kind of -- you're expecting it 2 years in a row, it seems to be different from a restructuring expense? Is this something that we might expect also in '15, and when would this eventually roll off?
Larry M. Venturelli: Michael, it's Larry. The expense in 2013 and '14 is related to the same things, related to the Hefei Sanyo. So obviously, once we close on that, that investment expense goes away, and there's nothing that we carry over into '15.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: Okay. And just lastly, if I could, how are you thinking about the effective tax rate x BEFIEX in 2014? And also if you could give us a sense within the guidance of how you're thinking about the interest and sundry income and the interest expense lines?
Larry M. Venturelli: Yes. In my prepared remarks, Michael, I said we expected about a 24% rate from a tax rate perspective in 2014. Figure interest and sundry, anywhere -- we figure around $95 million and a figure interest expense between $165 million and $170 million.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: I'm sorry, just one more if I could squeeze in, the share count, also where did it end in '14?
Larry M. Venturelli: I would use what we ended at, which is about $80 million.
Operator: And our final question comes from Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: A couple of questions, first, housekeeping, Larry, while you're doing all these granular stuff, change in pension expense on the P&L in '14, I know you talked about the liability and the contribution, but what about the P&L impact?
Larry M. Venturelli: Yes. Again, just to remind you, we closed the pension plan several years ago, so it's not a big pickup. It will probably be around $12 million lower between pension and post retirement.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: So that will be an increase of $12 million on a year-on-year basis?
Larry M. Venturelli: A decrease of $12 million .
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: A decrease or increase, I'm sorry?
Larry M. Venturelli: Decrease.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Decrease. Okay. And I was hoping that you would say that. Okay. And then 2 final questions, if I could. I mean, it seems as though if you go around the world in your industry expectations, Europe, Latin America and Asia, even to an extent, I guess, U.S. because of the channel inventory correction that you're really baking into your expectations improvements in the second half versus the first half. You talked around a little bit, Jeff, about why you feel that might be the case. But could you put a little bit more meat on the bone as to specifically what data points or channel anecdotes that you're seeing that gives you that confidence that things in the second half are going to be better than the first half? Because right now, obviously, the first quarter and first half, we may not be seeing that.
Jeff M. Fettig: I don't -- for the most -- I think the starting point I would say is that we expect at largely have our normal seasonality that we have in our business. As I go around the route, I don't necessarily look at it as first-half-second-half big change in North America or Europe other than we do believe in both developed markets that we have seen a slow generally positive trend that we expect to continue to build. I think probably where there is a little bit of first-half-second-half expectation is in end markets like Latin America and India for one reason when we're facing -- again, we talked about currencies as of today. We still have year-over-year currency headwinds we've got to overcome. And I think as those markets settle out, you'll see a better -- start to see a better return to normalized growth, which we don't expect to see in the first half. So that's probably the 2 places in the world where we have a little bit of a first-half-second-half view of the world as our -- largely Latin America and India. Everywhere else, we look at basically normal seasonality.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: And then directionally, market share expectations, I know you talked about LatAm, but you -- do you expect to gain share? I'm guessing some of that is going to be carryover from Mabe. But on the other hand, I think, organically, you're expecting to gain share also. U.S. and Europe, directionally where do you expect your market share trends to be in 2014?
Jeff M. Fettig: Look, Sam, as we've discussed candidly with the investments we make in new product and so on, we expect to always gain share with our new product innovations, where we -- But having said that, we want to do it profitably. So I think everywhere where we introduce new products that are -- which is everywhere, we have an expectation to gain share to some degree. What we haven't changed is our expectation is that we will pursue loss-making share moves for the sake of share because that, for us, is obviously -- that is not an economically viable model. Some may choose to do it, we don't. And so I guess our expectation on the year is everywhere we have a meaningful participation, we would expect to grow our share.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: From a new product rollout standpoint, is there a timing, first half, second half, in terms of where you expect a bulk of your new product to be introduced?
Jeff M. Fettig: Not anymore, Sam. I mean, it's -- we've got keen some pipeline innovation around the world. You've asked me and others have in previous years, what's your big innovation this year? It's hard to say because there are so many of them, and we literally every month and, certainly, every quarter are bringing out meaningful innovation. So it's kind of a continuous pull for us. Well, listen, everyone, thank you, again, for joining us today, and we look forward to updating you at our next earnings call. Thank you.
Operator: This does conclude today's program. You may disconnect at any time.